Operator: Ladies and gentlemen, thank you for standing by, and welcome to the European Wax Center Second Quarter Fiscal Year 2021 Earnings Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to introduce your first speaker for today, Amir Yeganehjoo, Vice President of Financial Planning and Investor Relations. You may begin. 
Amir Yeganehjoo: Thank you, and welcome to European Wax Center's Second Quarter Fiscal Year 2021 Earnings Call. With me today are David Berg, Chief Executive Officer; David Willis, Chief Operating Officer; and Jennifer Vanderveldt, Chief Financial Officer. For today's call, David Berg will begin with a review of our mission, positioning and strategy, followed by highlights of our second quarter performance. Then Jennifer will provide additional details regarding our financial performance and introduce our guidance. After prepared comments, David Berg, David Willis, Jennifer Vanderveldt and I will be available to take questions you have for us today.
 Before we start, I would like to remind you of our legal disclaimer. We will make certain statements today, which are forward looking within the meaning of the federal security law, including statements about the outlook of our business and other matters referenced in our earnings release issued today. These forward-looking statements involve a number of risks and uncertainties that could cause actual results to differ materially. Please refer to our SEC filings as well as our earnings release issued today for a more detailed description of the risk factors that may affect our results.
 Please also note that these forward-looking statements reflect our opinions only as of the date of this call, and we take no obligation to revise or publicly release the results of any revision to our forward-looking statements in light of new information or future events.
 Also during this call, we will discuss non-GAAP financial measures, which adjust our GAAP results to eliminate the impact of certain items. You will find additional information regarding these non-GAAP financial measures and a reconciliation of these non-GAAP to GAAP measures in our earnings release. A live broadcast of this call is also available on the Investor Relations section of our website at investors.waxcenter.com.
 I will now turn the call over to David Berg. 
David Berg: Thank you, Amir, and good afternoon, everyone. I am thrilled to speak with you all on our first call as a public company. As the leader in the out-of-home waxing category, European Wax Center's purpose is to make our guests feel great about themselves. Since 2004, we've delivered a trusted, efficacious and accessible service to our guests by providing a consistent and unparalleled experience through our extensively trained wax specialists, our stringent hygiene protocols and our proprietary Comfort Wax. These differentiators in our operating model keep our guests coming back on a recurring basis.
 For EWC, the sustainability of our business model has produced a compelling growth algorithm, giving us confidence that we can deliver low double-digit revenue growth and low to mid-teen adjusted EBITDA growth in the future.
 Becoming a public company represents a significant milestone for us as it further empowers us to expand our leadership position for the benefit of all of our stakeholders. We are excited to share our company's history to discuss the category we operate in and to explain why we believe we are poised for sustainable, profitable growth in the future.
 I want to thank the entire European Wax organization. our franchisees, our wax specialists and all of our associates for their dedication and passion for driving our business and their relentless focus on delighting our guests. Their combined efforts have allowed us to deliver a track record of consistent growth and succeed even in the face of a pandemic while providing us with a unique and powerful platform to continue our success in both the near and long term. And to our guests, I also say thank you for trusting us to be your out-of-home hair removal brand of choice.
 As you saw in our earnings release, we delivered strong second quarter results that highlighted growth across all key financial metrics. Our second quarter performance accelerated significantly from the first quarter, even as the COVID-19 pandemic continues to create some consumer uncertainty. Results surpassed the expectations we shared in our prospectus filed with the SEC on August 6 and included triple-digit revenue growth from the second quarter of last year and double-digit growth from 2019.
 We have achieved consistent double-digit growth through both favorable and unfavorable economic conditions, evidencing our guest belief that our services are a nondiscretionary and recurring part of their personal care and beauty regimens. 
 Offering a nondiscretionary consumer service creates a highly predictable and growing recurring revenue model. In the second quarter, we saw an acceleration in guest visits following last year's temporary closures and the easing of mass mandates driven by a 35% increase in transaction count compared to the first quarter of 2021. As EWC continues capturing market share, we are excited to see the trend of positive new guest count with second quarter 2021 growing by 58% compared to first quarter of 2021. This sequential quarter-over-quarter improvement speaks to the resilience and growing awareness of our brand.
 Before I share more of the quarter's highlights, for those of you new to the European Wax story, I'll take a moment to share what makes our company unique. First and foremost, we created and remain the leader in the category of out-of-home waxing. The entire executive team and I were attracted to EWC as we saw the same opportunity as the EWC founder sought to unlock in 2004 in the industry of out-of-home waxing, when they realized that waxing was an essential and recurring service often performed in salons as an afterthought. They introduced a consistently high standard of professionalism by creating a business concept solely focused on the wax experience.
 The current management team has set the company on a path to unlock the true potential of European Wax Center with an asset-light replicable high-growth franchise model. Today, our focus continues to be solely on waxing. Our people are experts at it, and our training is second to none. The quality, consistency and trust of a wax service at a European Wax Center makes a difference. Our services are affordable, safe, effective and efficient.
 Our average service takes approximately 15 minutes to complete, and our wax specialists become more consistent and efficient at completing these services over time allowing us to optimize the productivity of our wax suites to the benefit of both franchisees and our guests. Quite frankly, we deliver a value proposition that is tough to compete against.
 We start with a differentiated brand experience, every visit, every guest in every center. Our revenues are recurring because the need for hair removal is recurring, and the investments we have made at corporate are driving rapid unit growth by our franchisees.
 Our scale also allows us to invest in technological enhancements that drive a better customer experience. Our ability to continue innovating and simplifying the guest experience in our centers further differentiates us from mom-and-pop competitors who simply are not able to invest like we are. The franchise model allows us to be asset-light and generate significant cash flow to then further reinvest in the business and the brand and to evaluate opportunities to return shareholder value.
 For any franchise model to succeed, franchisees must see predictability in unit-level performance and ultimately make a great return on their investment. EWC does just that, evidenced by the natural demand from existing franchisees to continue supporting our growth.
 Second, we operate in a large and growing market. The addressable market for hair removal in the United States is $18 billion; and within that, the out-of-home waxing opportunity is $6 billion and growing at more than 2x the rate of the total market. Out-of-home waxing is clearly the preferred consumer choice for hair removal.
 Today, European Wax center is just a little over 10% of that out-of-home waxing market and 4% of the overall hair removal market. Importantly, the out-of-home waxing market is highly fragmented with nearly 99% of the service providers today who are mom and pops that either operate stand-alone waxing locations or provide waxing services at a salon. As the category leader in this highly fragmented market, EWC is able to invest in the guest experience and in technology-enabled enhancements to that experience in ways that the competition cannot. As such, our scale and strong free cash flow creates an enviable competitive moat from which we continue to expand.
 Third, we have significant room for expansion. At quarter end, we had 259 franchisees who owned 810 centers while we own 5 corporate centers across 44 states where we operate. And our pipeline for new unit growth is robust. Longer term, we see the potential to expand to more than 3,000 centers in our standard format in the United States and have set a target to grow new center openings in the range of 7% to 10% of our total base per year.
 EWC's unit economics are impressive and enable franchisees to achieve sustained annual cash-on-cash returns of 60% at maturity, which occurs at year 5. Our centers require a modest upfront investment and follow a highly predictable maturation curve across cohorts and geographies providing our franchisees and us as franchisor with a high degree of visibility into the embedded earnings potential of newly opened centers.
 Due to the attractiveness of this return profile and the consistency with which these returns have been achieved across center cohorts, we are now receiving meaningful interest from sophisticated multi-unit operators and well-capitalized mid-market private equity firms who want to grow with us. As a result, we continue to aggressively build out a strong pipeline of committed future center openings. We have strategically identified our top 25 DMAs for growth, and we already operate at least 1 EWC location across 75% of all of our growth markets in the U.S.
 Fourth, we have a predictable business model. We have a strong pipeline of new centers from which to expand. Current franchisee operators are opening the majority of our new centers, and our centers have seen consistent performance across the U.S. Another proof point is that our same-store sales have consistently been in the high single-digit or low double-digit range with 10 consecutive years of positive same-store sales growth through 2019.
 We have high guest retention, and we encourage guests to schedule future visits regularly while rewarding them for participation in our prepaid Wax Pass program that provides an economically attractive bundling for our guests and ensures a pipeline of future guest visits for our franchisees. Our Wax Pass utilization or a percentage of service transactions that include a Wax Pass redemption approximates 60%. We also know guests are highly satisfied and devoted to EWC by the continued strength of our Net Promoter Score, and we are so confident in our ability to delight that we will always promise all of our guests that their first wax is free.
 Now let's turn to a review of our second quarter results. Our accomplishments reflect the continued execution of our strategy against our 2 focused growth priorities: first, drive sustained same-store sales growth; and second, grow our national footprint across new and existing markets. Driving these 2 growth vectors will naturally expand our profit margins and generate robust free cash flow given the asset-light positioning of our brand.
 In our second quarter, we are pleased to have made significant progress on each of these priorities. Given that the majority of our centers were temporarily closed for a portion of 2020 due to pandemic restrictions, I will focus my Q2 performance commentary on the sequential growth from Q1 2021 and the pre-pandemic comparative growth to Q2 2019. In regard to our first priority, we demonstrated significant sequential improvement in our top line revenues supported by strong system-wide and same-store sales versus the first quarter of this year as well as compared to the second quarter of 2019.
 Specifically, total EWC revenue rose by 31% relative to Q1 2021 and by 11% over the second quarter of 2019. Our strong top line performance was driven by favorable system-wide sales up 39% relative to Q1 2021 and 15% over the second quarter of 2019 as well as by same-store sales, which increased 13 percentage points from the first quarter of 2021, delivering a Q2 comparable of positive 6.9% from the second quarter of 2019.
 Our overall same-store sales were strong, even as California lagged other geographies given more stringent health mandates during COVID and a tight labor market, partly attributed to a delay in processing of cosmetology licenses. For purposes of providing investor clarity around our performance during this period, we think it is helpful to highlight that California negatively impacted our same-store sales in Q2 '21 by 500 basis points. Thus, in our other 43 states, excluding California, we generated positive same-store sales of 11.9% in Q2 relative to Q2 2019. As we said when we spoke to you on the road show, we remain very pleased with the guest demand side of our business, and we continue to monitor labor-based supply constraints across our network in the short term.
 Our same-store sale increase in the period was driven by higher overall transaction values as mass mandates led to a mix shift favoring higher priced body services such as leg, bikini and Brazilian waxes versus facial services. We see great loyalty from guests who continue to come for their body services, and we believe there are still some sideline guests who return to their regular routines when the pandemic-related mass mandates abate.
 Overall product sales were also strong for the quarter, rising 15% relative to the second quarter of 2019. We are seeing success from the launch of our new retail product line in April and remain focused on driving continued productivity. We have enhanced our operational playbooks to focus on consultative selling that makes it easier for our wax specialists and our guest service associates to attach retail products to our guests' service visits.
 As it relates to our second priority, we grew our national footprint by adding 41 net new centers from the second quarter of 2020 and 81 from the second quarter of 2019. Our pipeline continues to be robust, and we remain on track to open 52 net new centers this year.
 As a result of delivering on our 2 growth vectors, we expanded our profitability and delivered strong free cash flow. Operating profit grew to $12.4 million, up significantly from the $7.6 million in the second quarter of 2019. As we said when we spoke to you on the road show, we remain very pleased with the favorable guest demand for our services and the sequential growth of our same-store sales performance that will continue into Q3.
 In summary, we remain incredibly excited about the partnership we have with our amazing franchisees, and our guests' confidence in our brand and in our opportunity to continue to build on our success as the leader in the out-of-home waxing category. We expect that our focused execution will continue to drive double-digit growth for the benefit of all of our shareholders. 
 And now I'd like to turn the call over to Jennifer Vanderveldt, our Chief Financial Officer, to review our second quarter performance and outlook in more detail. Jen, over to you. 
Jennifer Vanderveldt: Thanks, David, and good afternoon, everyone. I am delighted to speak with you on our first earnings conference call as a public company. I'll begin my discussion with an overview of our business, followed by a review of our second quarter results. While discussing our financial performance, I will compare our second quarter fiscal 2021 results to both fiscal year 2020, which was significantly impacted by temporary pandemic-related center closures as well as fiscal 2019, which represented a more normalized year of operations for us. I will then introduce our fiscal 2021 outlook.
 As David mentioned, European Wax Center is the leader in out-of-home waxing services, a growing and attractive category. Our asset-light operating model delivered a consistent guest experience and predictable unit economics for our franchise partners. Our strong track record of growth is driven by these dynamics.
 At a corporate level, we are able to achieve our growth objectives with modest investment and working capital requirements, resulting in meaningful free cash flow growth. And as part of our overall capital allocation framework, we will evaluate opportunistic uses of our cash in partnership with our Board.
 I would now like to turn to a review of our second quarter and first half results. My remarks will focus on our adjusted results, which excludes onetime costs related to our initial public offering and assumes our initial public offering occurred at the start of the year. You can find reconciliation tables in our press release and 8-K filed with the SEC today. Ahead of my review, I would like to provide a brief definition of the terms we use when describing the performance of our business.
 First, system-wide sales, which represents revenue from the sale of services and products across our network. System-wide sales also include collections on Wax Pass cash payments, which I will provide further commentary on momentarily. It is important to note that system-wide sales for our networks are primarily generated by our franchisees who operate more than 99% of our centers given our asset-light business model.
 Second, same-store sales, which reflect the year-over-year change in sales from waxing services performed and retail products sold for the same-store base of centers open for at least 52 full weeks. Importantly, this measure excludes cash collections from Wax Passes sold until those services are redeemed. In this way, same-store sales represent a strong indicator of recurring guest service behavior at our centers.
 Third, Wax Pass cash payments, which represent cash collected upfront or in equal installments for prepaid services bought in bulk and at a discount through our Wax Pass program. Wax Pass purchases less Wax Pass redemptions were $19.2 million for the quarter, rising 36% versus the second quarter of 2019. As our guests redeem these services, the value of that service is reflected in our same-store sales performance. Accordingly, increases in Wax Pass sales in any given period will eventually be recognized in our comp center sales performance in a future period as the guest uses the service.
 In this way, Wax Pass sales are a component of future same-store sales performance though there may be timing differences in the cadence with which guests redeem those services. And we look at these Wax Pass purchases as a leading indicator for future services. Wax Pass redemptions also represent an important opportunity for EWC to attach incremental services or retail products to those service visits. And as you heard from David, approximately 60% of our annual service transactions include a Wax Pass redemption. And on average, guests enroll in our Wax Pass program after their third visit. Increasing Wax Pass redemptions leads to higher guest retention and guest satisfaction and supports our predictable recurring business model.
 Fourth, EWC total revenues, which include the recurring sale of Comfort Wax and retail products to our franchisees as well as royalty and marketing fees based on the service revenues generated by our franchisees. Importantly, royalty and marketing fees are earned by EWC as cash is collected by our franchisees, including the cash collected from Wax Pass cash payments in any period. Other revenues consist of our corporately owned center revenues and other ancillary franchisees.
 We are now turning to a review of our second quarter results. We are pleased to report strong second quarter performance highlighted by significant growth in sales, margin and adjusted EBITDA compared to the second quarter of fiscal 2020 and 2019. We are also pleased by the sequential improvement of our performance from the first quarter of 2021 to the second quarter of 2021 as guests return to our centers. The second quarter was the first period in which we no longer had mandated closures associated with the COVID-19 pandemic.
 I want to thank our entire organization, our franchisees and our wax specialists for contributing to this performance. We are grateful for their dedication and passion for our mission while enduring countless hours of timing on COVID-19 protocols to preserve and extend our best-in-class hygiene and cleanliness procedures. Their level of professionalism, despite personal hardships through this unprecedented time, has been nothing short of extraordinary.
 System-wide sales for the quarter were $218.5 million, rising 443% from $40.3 million in the second quarter of 2020 and an increase of 15% from $190.4 million in the second quarter of 2019. This represented a significant acceleration from the first quarter's 3% increase in system-wide sales versus 2019.
 Increased same-store sales coupled with 81 net new centers drove the revenue increase relative to the same quarter in 2019. We were pleased to see our guests return for their routine and recurring services as soon as restrictions were eased or were lifted. And while traffic is not back to pre-pandemic levels, the mix shift favoring body waxing versus face waxing, which you would expect given mask mandates, is helping drive the increase in system-wide sales compared to 2019. These dynamics also delivered a same-store sales increase of 6.9% above 2019, primarily driven by average transaction value increases as a result of services mixing to those higher-priced body offerings.
 Total EWC revenue rose 343% to $47.9 million from $10.8 million in the prior year period and 11% from the second quarter of fiscal 2019. Product sales, royalty fees and marketing fees were significantly up compared to the second quarter of 2020 and 2019. To this end, product sales, consisting of both the Comfort Wax required to perform each service as well as retail products that franchisees sell through to our guests, were $26.5 million for the quarter, an increase of 288% from 2020 and rose 15% from 2019. Royalty fees were $12 million, an increase of 473% from 2020 and rose 14% from 2019. Marketing fees were $6.6 million, an increase of 441% from 2020 and 12% from 2019. Other revenues of $2.7 million, which includes corporately owned center revenues and other ancillary franchise fees, were up 318% versus last year but down 25% versus 2019 as we sold 7 corporate centers to franchisees and closed 1 center versus the 2019 period.
 Cost of revenue, which represents the direct cost of products sold to new and existing centers, was $11.5 million for the second quarter of fiscal 2021 versus $3.7 million a year ago, and $11.3 million for the same period in fiscal 2019. 
 Gross margin was 75.9% for the quarter, an increase of 1,000 basis points relative to the same quarter in fiscal 2020, as a result of higher sales volumes, retail margin expansion from our new product lineup and mix shift on the timing of Comfort Wax sales to our network. Gross margins for this quarter are 200 basis points higher versus the same quarter in fiscal 2019.
 SG&A for the quarter was $12.2 million compared to $6.3 million last year, and $17.5 million in the second quarter of fiscal 2019. The $5.9 million increase over last year's second quarter was primarily related to increased payroll costs and benefits expense as well as $1.9 million of professional fees associated with preparing to be a publicly traded company. The decline in SG&A from the second quarter of 2019 was largely driven by lower commissions as a result of the reacquisition of rights from certain area representatives. As a percent of revenue, SG&A was 25%, 59% and 41% in the second quarter of fiscal 2021, 2020 and 2019, respectively.
 Advertising costs increased to $6.5 million in the quarter, up from $2.6 million and $5.3 million in the same quarter of fiscal 2020 and 2019, respectively. However, as a percentage of sales, advertising costs were in line with our historical rate. The increase in advertising costs reflects the company's efforts to assist in reopening centers during the pandemic and support new franchisee center openings.
 Depreciation and amortization expenses were $5.3 million in the most recent quarter, slightly higher than the $5 million recorded in the same period last year and $3.7 million in the second quarter of fiscal 2019. The increase in depreciation and amortization from the second quarter of fiscal 2019 is primarily driven by the amortization of reacquired rights from the area representative agreement that the company strategically repurchased in fiscal 2019 and fiscal 2020. Over time, this increased amortization will diminish, and it is important to reiterate the relatively modest level of capital expenditures and associated depreciation required to operate our asset-light franchise model.
 Total operating expenses for the quarter were $35.5 million, up from last year's $17.7 million, reflecting the reopening but were flat compared to the same quarter of 2019. We are very pleased with our operating performance for the quarter. We posted a second quarter operating profit of $12.4 million, a $19 million improvement versus last year's loss of $6.9 million and significantly ahead of fiscal 2019's second quarter operating income of $7.6 million.
 On a GAAP basis, net income for the second quarter of fiscal 2021 was $7.7 million compared to a net loss of $11.4 million in the second quarter of fiscal 2020 and up significantly compared to net income of $3.8 million generated in the second quarter of fiscal 2019 pre pandemic. Adjusted net income improved to $9.9 million from an adjusted net loss of $10.6 million in the prior year period and adjusted net income of $4 million in the second quarter of fiscal 2019.
 EBITDA, defined as net income or loss before interest, taxes, depreciation and amortization expense, came in at $17.6 million compared to an EBITDA loss of $1.8 million last year. Relative to the second quarter of fiscal 2019, EBITDA increased by $6.3 million from $11.3 million in that quarter.
 Adjusted EBITDA, which excludes the impact of certain noncash and other items that are not considered in the evaluation of ongoing operating performance, such as onetime items related to our initial public offering, increased more than $20 million year-over-year in the quarter from a loss of $1 million to a gain of $19.8 million this year. Our adjusted EBITDA margin was 41.3% in this quarter, up a significant 1,490 basis points versus 2019's adjusted EBITDA margin of 26.4%.
 Turning to the balance sheet. As of June 26, 2021, we had cash and cash equivalents of $35.2 million, and there were $269.3 million in borrowings under the company's credit facilities as of the end of the quarter. As of August 2021, we have entered into a new 5-year credit agreement expiring in August 2026 comprised of a $40 million revolver, including $5 million for letters of credit and $180 million term loan. We were also able to secure better rates on our new credit agreement, which will reduce interest expense by approximately $11 million on an annualized basis. Proceeds from the new loan and the company's initial public offering were used to repay and terminate our previous credit agreement.
 We completed our IPO in early August following the end of our second quarter. As a result, a total of 12.2 million shares of common stock were sold to the underwriters at $17 per share including 2.4 million shares of Class A common stocks sold by existing stockholders. The company received gross proceeds of $155.4 million from its issuance and sale of 9.8 million primary shares of Class A common stock. Following our initial public offering, our capital structure consists of 63.7 million shares of common stock.
 Now to our outlook. We are initiating guidance for the fiscal year 2021. System-wide sales are expected in the range of $788 million to $793 million. Same-store sales are expected to increase in the high single digits. We currently expect same-store sales will continue to improve sequentially for the balance of the year. Given the tight labor market in California, we expect same-store sales to be at the lower end of our high single-digit range for the full year, implying low double-digit same-store sales in Q3 and Q4.
 We expect to end the year with 848 European Wax centers, an increase of 52 locations from the 796 centers at the end of fiscal 2020. Total revenue is expected in the range of $173 million to $178 million. Adjusted EBITDA is expected in the range of $60 million to $63 million, interest expense in the range of $14.5 million to $15.5 million. 
 Our tax rate is expected to approximate 12.5%. Adjusted net income is expected in the range of $26.5 million to $28.5 million. Depreciation and amortization is expected in the range of $18.5 million to $20.5 million. And total capital expenditures are expected in the range of $1.5 million to $2.5 million.
 Over the next 3 to 5 years, our long-range growth algorithm contemplates compounding annual growth of high single-digit unit growth, high single-digit same-store sales growth, low double-digit EWC revenue growth and low to mid-teens adjusted EBITDA growth. As David mentioned, we have incorporated an appropriate level of prudence into our guidance for the balance of the year. However, our outlook does not contemplate a meaningful change in consumer behavior driven by renewed concerns about the COVID-19 pandemic nor does it include further impacts from incremental tightening in the labor market beyond what we see today.
 This concludes our prepared remarks, and we will now turn the call back over to the operator for questions. Operator? 
Operator: [Operator Instructions] Our first question comes from the line of Randy Konik with Jefferies. 
Randal Konik: Just wanted to really first talk a little bit more about the implementation of technology. Dave, you touched on it a little bit in your remarks. So I guess what would be really helpful is to give us some perspective on how the business was run before your text back was basically augmented. And then talk to us about how technology helps the franchisees run their business better. How has technology helped the customer's experience improve? And then talk to us about how technology has really changed data analytics at the corporate office. 
David Berg: Randy, thank you. Thanks very much for the question. Appreciate that. We understand that we might have had some breakup on part of Jen's remarks, so apologies for that. I assure you, Randy, that in-suite technology is ahead of our conference call technology. So we'll make sure that, that discussion on the topic [ was right ]. I think it was depreciation and amortization primarily. We'll get that in the transcript. So apologies for that for the folks on the call. And thanks for your question, Randy.
 Let me just maybe start with kind of what we've done and really have been allowed to do given kind of our scale and candidly, our competitor set can't do. And I'll start in-suite, and I'll try to address your questions on both franchisees, customers and kind of [ how corporate is ] helping us run, Randy, to make sure we're thorough in the answer.
 First from an in-center standpoint and a particularly in-suite standpoint, so within the wax suite, there's an iPad that we put into every wax suite. So the wax specialist has the ability to look at the history of a guest, see what services they've had in the past, allows them the opportunity to add on services, to suggest new services as well as attach retail products to them. So having kind of that diagnosis prior to the guests coming into the wax suite, we think is an excellent opportunity for us to continue to increase the average ticket.
 We launched a mobile app here over the past few months. Today, it allows for virtual check-in for our guests. It allows our guests to rebook on the app, and it give -- provides us the opportunity to give a notification via text to the guests of their reservation and allows the guests to respond to guest surveys, customer satisfaction surveys and NPS surveys that we ask from them after their visit. So we've made some really nice advancements on the mobile app.
 I think the biggest opportunity there is where we make appointments. We're seeing more and more of our guests that are utilizing that mobile app to do that. Up next, we will have actual auto check-in and checkout available to our guests. And so those are some of the -- those continued investments that we make.
 Randy, to answer your question sort of about how we're using that, how we can utilize that to help our franchisees, we have the technology today to capture our guest behavior. And the data foundation that we're building allows that guest data to be appended to each individual guest record. And that's going to enable us to really get to that personalized one-to-one marketing. And we've been very, very purposeful about the investments that we've made that are going to drive and enhance that guest experience that ultimately will drive stickiness and lifetime value of the guest.
 So that's being shared with our franchisees. We have a data scientist that we hired in the last quarter. Her goal and her team's goal is really to make sure that we're utilizing that information, doing the proper analytics around it, so we can get over to the guest experience team to ensure that we continue to drive that lifetime value of our guests. 
Randal Konik: Super helpful. I just had one little follow-up. Any learnings on new service initiatives such as men's or new services in general such as like, I think, the wax facial was in pilots? Just any color on that would be super helpful. 
David Berg: Yes, Randy. Listen, I think as franchisor, it's our obligation to continue to innovate. So we -- if the analog here is to the restaurant menu, we've got to make sure that we continue to provide offerings that make sense for our guests, where the brand gives us permission or where a guest gives permission. As you know, in a franchise model, we want to make sure that this is executable across all of our 800-plus centers. So we're very, very focused on staying close to our expertise in wax. We have a great pilot program put in place on new services. We're very encouraged by what we're seeing in terms of the male service opportunity that we really launched with some gusto here in the past few months.
 I think the Wax-Powered Fast Facial, we talked about in Jen's comments about some of the mix shift that we've seen to more full body services. I think there's been a bit of reticence in terms of services under mask. So we continue to be mindful in studying our Wax-Powered Fast Facial but again, we think differentiates us from other waxing competitive set. And Randy, we'll just continue to innovate in those areas but ensure that it's something that is very executable across all of our locations and ensure that we have that same amazing guest experience in whatever service we're providing. 
Operator: Our next question comes from the line of Lorraine Hutchinson with Bank of America. 
Lorraine Maikis: I wanted to focus my questions around new center growth. Can you just talk a little bit about how confident you are in executing on the 52 centers this year? And then what line of sight do you have in hitting that high single-digit growth in 2022 and beyond? 
David Berg: Lorraine, thanks for the question. I'm going to ask David Willis, our Chief Operating Officer to address that, please. 
David Willis: Sure. We feel very confident about the full year, 52 new center openings. Our development pipeline is really robust. As at the end of the second quarter, we had 226 licenses in the pipeline, and we continue to make progress on executing the multiunit development agreements we talked about on the road show.
 We're probably most excited that we're seeing growth commitments from franchisees of all sizes. So the small, medium and large franchisees are all committing to further develop. These multiunit development agreements, Lorraine, you may recall, go out about 3 or 4 years. So we're feeling quite confident about delivering 52 centers this year and equally confident going forward that we can hit our 7% to 10% unit growth per year growth metric. 
Operator: Our next question comes from the line of Simeon Gutman with Morgan Stanley. 
Hannah Pittock: This is actually Hannah on for Simeon. I wanted to ask a question around market share. So in terms of the total out of hair -- out-of-home hair removal, you are a little over 10%. Is there a way to think about the range from your highest AUV centers to your lowest, what local market share looks like for that range? And is that how we should think about market share potential over time? 
David Berg: Yes. Hannah, thanks for the question. Just to be clear, the 10% share is the out-of-home waxing category. Overall hair removal is around 4%, just for clarity there. We don't drive down to our local markets today in terms of our market share. But I think the important point here is that this is such a highly fragmented market. 99-plus percent of the business is mom and pops. I think we shared earlier that we commissioned a very well-known international research group at the beginning of the year to evaluate our market opportunities. They came up with this kind of -- the TAM that we've addressed.
 And additionally, they find that 5% to 10% of those smaller mom-and-pop shops were not going to survive COVID. We're seeing that in some of our new guest count acquisition where 1 in 5 of our new guests in the quarter are coming from our competitive set. So we do believe we're taking market share, and we'll continue to watch those numbers to make sure that we know where those guests are coming from. 
Hannah Pittock: And maybe a quick follow-up if you have the time. Out-of-home waxing currently sitting about 1/3 of the total hair removal market, obviously, its growth is outpacing the larger market, so that penetration just kind of tick up. Do you have a sense for where out-of-home waxing penetration of overall hair removal kind of mixes out in the long term? 
David Berg: Hannah, so I beg your pardon. I lost you at sort of the $6 billion of the $18 billion is out of home and then growing faster. Then we've lost you, I'm sorry. 
Hannah Pittock: I just was wondering if you have a sense for where home waxing penetrations land in the long term as a percentage of all hair removal. 
David Berg: Well, we certainly see it -- I mean, we're excited, obviously, that it's the fastest growing modality hair removal. Is it going to be half of the hair removal model? That's part of our job, is to try to get it there. We're just excited that it's growing faster. We're the leader in that category. And I think it's -- again, we just keep focused on making sure that we're driving our market share across all of the DMAs where we operate. But I don't -- we have not sort of done an analysis to say, of that $18 billion, could that third of that market in out-of-home waxing grow to a significant high or not. We believe there's great opportunity within the space that we're operating right now. 
Operator: Our next question comes from the line of John Heinbockel with Guggenheim. 
John Heinbockel: Let me focus on the opportunity, right, to accelerate maturation of centers. So maybe you can talk to that a little bit, whether it's network effect, marketing cross-sell, and the degree to which you think you can get to 1 million quicker than year 5. 
David Berg: John, thanks for the question. I'm going to ask David Willis to follow up on that, please. 
David Willis: John, this is -- good to talk to you. The accelerating -- the maturation of the centers is really front and center. David has put this squarely on the operations team, so we are identifying those KPI levers that we can execute against that are going to drive faster breakeven in 25% plus EBITDA.
 You may recall from the road show, the average center profitability and maturation is about 20% EBITDA. But our top performers are 25%. We're trying to institutionalize those things that those folks are doing well across the rest of the network. We've seen some early -- very encouraging signs in terms of new center openings in the pace upon which their revenues are ramping, both in 2020 and in 2021 in terms of new center openings. So a variety of initiatives that our teams are focused on working with franchisees, but in simple terms, we're simply trying to institutionalize what our best operators are doing across the rest of the network. 
Jennifer Vanderveldt: And maybe, John, to add a little bit to that, too. As we track the performance of our cohort by the fifth year, we're seeing some great outperformance in the businesses for 2020 and 2021. If we think about 2021, obviously, the first year, really performing [ about ] 60% to 70% higher versus our overall trend in 2020. If you think about that, that's about 10% to 20% higher. So again, these are onetime stats that we are wanting to provide for just some clarity. We know we're a newly public issuer. But I do think some of the things that we're pushing on the operations side [ as long as ] we believe are going to continue to work. 
John Heinbockel: And just real quick, you guys have talked about the, I guess, the labor shortage at least in California. Maybe just quick in terms of supply/demand for wax specialists, right, and you should be an employer of choice. So is that just sort of a timing issue just in California when you think about the availability of specialists? 
David Willis: John, this is David Willis. Primarily in California, you're right. That's where we're seeing the short -- the most shortage, and we think that's really because California is lagging the rest of the country and coming back online. We continue to provide our network an arsenal of tools that enable them to recruit wax specialists, most from beauty schools and other avenues. And we're candidly seeing momentum. We're seeing more hires by our franchisees of the wax specialists month-over-month, so we're encouraged. But certainly, to your point, we're seeing the labor shortages more in California than we are rest of the country. 
Operator: Our next question comes from the line of Jonathan Komp with Baird. 
Jonathan Komp: David or Jen, I'm wondering, as you look forward to the balance of 2021 and into '22, could you maybe rank order the biggest drivers of your same-store sales that you see? And then more near term, can you share any commentary on the behavior of your guests? Just over the last few months, I know we're past the typical peak, but given the Delta in COVID, I'm curious what you're seeing behaviorally from your guests. 
David Berg: Yes. Jon, I'll start with kind of what we're seeing from guest behavior, and then I'll ask Jen to speak to the same-store sales comps as we look forward. I think we continue to be really pleased with the consumer response certainly following the lifted COVID restrictions. So the overall demand side of the business, we're encouraged about. I think this just continues to demonstrate the trust that our guests have with our brand, and the nondiscretionary and recurring nature of our services. So that -- we saw that when centers opened back up, and that's continued along. So the demand side is very robust.
 As we kind of think about our outlook, we continue to see sequential improvement in same-store sales in the back half of this year with comp sales up in low double digits in Q3 and Q4, so that consumer response is strong. As David alluded to and we talked about in the prepared remarks, California is lagging that. But we hope that, certainly, as California catches up, that's going to be upside for us as we move forward.
 So from a consumer trend standpoint, we're encouraged by what we've seen. We're obviously very mindful of any kind of variant that might come on or additional government mandates. But right now, we continue to be very optimistic about the consumers coming back in the business. Jen, do you want to talk a bit about sort drivers for same-store next year? 
Jennifer Vanderveldt: Absolutely. So Jon, let me handle the second part of your question. We have seen over the course, we think, sequential quarter-over-quarter growth. We expect that to continue. You just heard that from David. And we are pleased with how the customer has rebounded and continues to rebound in terms of transactions.
 But in the quarter, mix really drove that same-store build in Q2, and we continue to see that kind of differential in terms of the body services versus the face. We expect that to continue through balance of the year; but against that, transactions continue to improve. You've heard some really good news from us today in terms of how happy we are with our new guest trend on a sequential basis. I would tell you that when we talk about California in terms of a demand versus supply, we actually see the new growth in California of new customers over indexing that plus 58%, gets us really comfortable that we've got the demand on a go-forward basis.
 And then as we think about 2022, I don't want to provide that outlook yet, but we continue to feel comfortable and confident in our long-range growth algorithm that we've always stated is going to be driven more by transactions in the long run. So I think it's a bit of an end when you think about the mix shift we've seen during COVID lapping that in time and really the end of the transactions still coming into our system and potential upside as those customers that may still be sidelined -- side blinded continue to reactivate around the facial service and as we see kind of COVID restrictions abate. 
David Berg: And Jon, we're going to stay hyperfocused on our 2 growth initiatives to drive unit count in the -- throughout the U.S.; and then second, to drive sustained same-store sales comps. And that's really broken down in those 3 buckets that we talked with you all about. That's to attract more guests. How do we continue to drive new guests to our centers? Second, how do we get them to buy more? And third, how do we get them to stay loyal longer?
 We're launching our new loyalty program at the end of this month that we're incredibly excited about. That's going to allow us to reward our best guests right at a perfect time, we think, as we go into November and December, sort of high-spend months, to really get our guests excited about the new loyalty program that'll enhance the stickiness that we've got with our guests longer term. 
Jonathan Komp: Yes, that's great. And then just one other follow-up. The point that Wax Pass sales are exceeding their redemptions. Could you maybe just clarify what's driving that and then maybe the broader financial implications longer term as you grow the Wax Pass penetration? 
Jennifer Vanderveldt: Sure, Jon. I think we really want to talk about the drivers in terms of this pipeline of future services that we see. I tend to look at this relationship as a really important one. There will be periods, I will say, where the differential that we're seeing in this period in terms of Wax Pass purchases less redemptions being a positive may turn to the other direction. And that just means that all of the CRM efforts you've heard David Berg talked about are working. We're driving that engagement.
 Historically, we see extremely low breakage rates around this. This is the hair that grows back every period. And so we feel really confident that when we talk about a differential in terms of this number on a go-forward basis that, that is really building that very robust pipeline of future service business. And as we look at things today, we've got all of that just kind of waiting to come on into our centers to get serviced. And I feel really comfortable that this business is different from many others you may see and that such a high proportion of total service dollars coming in off that Wax Pass program. And I think what we're reporting today, which is that up 36% is just evidence of that. 
Operator: Our next question comes from the line of Dana Telsey with Telsey Advisory Group. 
Dana Telsey: As you talked about the labor component, what are you seeing in the labor component country -- in the U.S.? How do you see those costs and the impact of SG&A? And then when we had talked previously, freight was a topic. And just wondering, any updates on freight, getting goods in and how that's being passed on to the franchisees or what you're seeing in terms of pricing or any changes there? 
David Berg: Thanks, Dana. David? 
David Willis: Yes. Dana, it's David. So on the labor component, you may recall from our prior conversations that, by and large, the wax specialists are making more than state or federal minimum wage. They have a base rate, and then most of our franchisees deploy payroll programs that have a significant amount of compensation tied to incentives, so a percentage of the service revenues. So in terms of the inflation on wages, we haven't seen that directly impact our franchisees because we were kind of already paying higher-than-normal minimum wages.
 As it relates to freight, we're seeing higher ocean freight, as I think everyone is, but we've been able to manage that. We don't envision that will impact the margins on our P&L. 
Dana Telsey: Got it. And then, Jennifer, just one follow-up. On the cadence of the third and the fourth quarter and what you talked about with sales, any difference in how we should break down third and fourth quarter or how you think about it? 
Jennifer Vanderveldt: Sure. Dana, this is Jen. I think what we tried to do, as we said in the spoken remarks, just talk about, for the balance of the year, we think about our outlook being in the lower end of that high single-digit range. I think as you kind of roll forward to full year, that does really imply that low double digit in terms of same-store sales. But we've certainly been talking about the great robust demand that we're seeing in this quarter and that sequential improvement we see over time. So that builds itself into system-wide sales, which when you think about the link of that as a non-GAAP metric for health of the total network and how that then translates into an outperformance for EWC, that's going to be probably more directly, and we continue to feel very comfortable there. 
Operator: Our next question comes from the line of Kelly Crago with Citi. 
Kelly Crago: I'm just curious, what just specifically is driving the acceleration in same-store sales in the back half of '21? Is it California catching up to the rest of the chain? Is it a sequential improvement in traffic and transactions? And since we're so far into 3Q, just hoping you could help us understand what's driving that acceleration and why it's sustainable into the fourth quarter? 
Jennifer Vanderveldt: Sure. Kelly, this is Jen. I'll take that one. I think what we're very comfortable about in terms of what's driving the sequential growth is exactly what you're alluding to when you think about the mix between transaction versus price. I think what you're hearing us say is that we believe that the mix shift in terms of that price component and dollars for service on body services, that will continue through the balance of the year, is reflected in kind of our outlook that we have provided. But we continue to see guests recover in terms of transaction counts, and that's what's kind of driving that.
 I will say, in terms of if we are looking at [ that ] on a stacked basis for Q4, the comparative just gets a little higher there. That's more of a function of what was in Q4 of '19. 1 month back in that period, we did have a malware incidence that the company has kind of taken meaningful strides to invest in cybersecurity on go forward basis. But I think that that's where you see a bit more of an increase there.
 I will say, again, to reemphasize the component for the full year outlook in terms of the lower end of our high single-digit range imply that sequential growth over time. But I just will say it's the lower end of that range given the great guest demand we're seeing but just a little bit of a pinch in terms of some of the supply that we are actively partnering with our franchisees to address. 
Kelly Crago: And just following up on the labor side, it's great to hear that you're not really seeing the inflationary headwinds yet or your franchisees aren't seeing them. But I'm just curious if we get to a point where the labor market is so tight that your franchisees start to see some of these inflationary pressures. What tools do you have available to sort of help them absorb those costs? Or would anything happen on the pricing side to help these franchisees offset those headwinds? Just anything else you could talk to that could help us understand that? 
David Willis: Kelly, ultimately, there's price to our guests, right? If we see in select markets where labor rates are incredibly high, we can ultimately look great priced to the guests. You may recall, we had multiple price tiers and probably no surprise, the higher labor cost markets have higher service prices for our guests. So that's probably the biggest lever that our franchisees can enable. 
Operator: Our final question comes from the line of Bill Chappell with Truist. 
William Chappell: Just following back up on California. You may have given this. But what percentage of the sales is the state of California? And then did you see any change intra-quarter? I mean did it improve throughout the quarter? And as we moved into this quarter, is it pretty much the same level throughout? 
David Berg: Yes. Bill, we don't have sort of that sales growth and [ all like that ]. I will tell you that California, given their center count, accounts for about 15% of our network. So it does -- there is an impact on our overall financial metrics when California sneezes a bit. And we certainly saw in the quarter month-over-month improvement as we went through the quarter. 
William Chappell: And just to follow up, so... 
David Willis: Yes. I would just add one thing. Bill, I would just say one thing. I know we've spoken a lot about California. Our franchisees, I think a positive trend there is about 25% of our new centers opened year-to-date and 25% of centers opened over the last 4 quarters are actually in California. So notwithstanding they are navigating some challenges, they're a little slower to come back online versus the rest of the country, there are some encouraging signs our franchisees are committed to further developing there, too. 
William Chappell: Got you. And then a follow-up and you may have covered this. But you mentioned that there were some licensing, I guess, delays that were affecting labor probably more than finding labor. So is that cleared up? Or is that still something that impacts the next few months? 
David Berg: Yes. So Bill, what we shared was the cosmetology schools actually shut down, right? And then they were not issuing licenses for estheticians when they reopen. We understand, we're catching up on that. We have an industry relations team that's very close with our franchisees, and we're staying in touch with the cosmetology and beauty schools out there. I'm sure that the faster we get those licenses out to new estheticians, the better it's going to be for us. So they are catching up on that. 
William Chappell: So that's 3Q, 4Q, we should be back to normal? 
David Berg: That -- we're -- with respect to what the California government's going to do, I'm not going to opine on that. I certainly hope so. We hope that they can get caught up for us. 
Operator: I would now like to turn the call back over to Mr. David Berg for closing remarks. 
David Berg: Well, we thank you all very much for joining our inaugural Q2 earnings call as a public company. We appreciate everybody's interest, and we look forward to speaking with you about Q3 in November. Thank you all very much. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.